Operator: Good day, and thank you for standing by. Welcome to the Almirall H1 2025 Financial Results and Business Update Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Pablo Divasson, Head of Investor Relations. Please go ahead.
Pablo Divasson del Fraile: Thank you very much, Jaime, and good morning, everyone. Thank you for joining us today's quarterly earnings update and review of Almirall's first half year financial results of 2025. As always, we are sharing the slides we are using today in the Investors section of our website at almirall.com. Please move to Slide #2. Let me remind you that information presented in this call contains forward-looking statements, which involve known and unknown risks, uncertainties and other factors that may cause actual results to materially differ from what we are sharing today. Please move to Slide #3. Presenting today are Carlos Gallardo, Chairman and Chief Executive Officer; Mike McClellan, Chief Financial Officer; Karl Ziegelbauer, Chief Scientific Officer; and we also have Jon Garay, our new CFO, joining us for the first time today. Carlos will start with the business highlights covering the first half of 2025, followed by an update on specialty on biologics as the key growth drivers of our medical dermatology portfolio. Karl will provide you with the R&D status update regarding our pipeline. And Mike will then talk you through the financials before Carlos concludes the presentation, and we open for questions. I will hand over to Carlos Gallardo, our Chairman and CEO. Please move to Slide #5.
Carlos Gallardo Piqué: Thank you, Pablo, and good morning, everyone. Almirall's performance in the first half of 2025 reflects the strength and consistency of our sustained long-term growth strategy. We are happy to reaffirm our full year 2025 guidance as well as our midterm outlook and peak sales expectations. This confidence is underpinned by the solid momentum across our medical dermatology portfolio, where we continue to expand access to meaningful treatments for patients and physicians. Almirall's position as a European leader in medical dermatology has never been stronger, supported by our commitment to innovation and operational excellence. Ebglyss continues to deliver strong sales growth during the second quarter of 2025, driven by a robust uptake in Germany and positive traction from recent country launches. Ilumetri continues to display steady year-on-year growth, which supports our peak sales expectations that we are happy to reconfirm today. Meanwhile, Wynzora and Klisyri remain important contributors to our European revenue base, reinforcing the strength of our dermatology portfolio. We have maintained strong engagement in the medical dermatology field this year, participating in major events such as the 2025 Annual AAD meeting, the 16th Skin Academy in Barcelona, the 11th World Congress of Melanoma, the 21st EADO Congress and most recently, the 2025 International Congress of Dermatology, ICD, in Rome. As a key part of our business development efforts, we actively pursue external innovation opportunities in early and mid-stage clinical development, aiming to strengthen our pipeline and broaden our impact in Dermatology. We are excited to share that we have recently expanded our collaboration agreement with Simcere to now include new bispecific antibodies for immunodermatology diseases. Karl will soon share further insights on this opportunity, along with the remaining pipeline updates. Please move to Slide 7 for an update on our biologics portfolio. Ilumetri continues to demonstrate good momentum within the psoriasis market, solidifying its position within the broader anti-IL-23 class. The recent rollout of the 200-milligram formulation has been well received and is contributing nicely to our performance. We also received a positive CHMP opinion regarding the inclusion of the new scalp trial data. This strengthens Ilumetri's differentiation and reinforces that perceived efficacy of Ilumetri in treating patients suffering from scalp psoriasis. In quarter 2 2025, Ilumetri generated net sales of EUR 58 million, marking a 13% increase year-over-year. This growth reinforces our confidence in the brand's trajectory as it has consistently delivered solid year-on-year-on-year growth since its initial European launch back in 2018. We continue to reaffirm our peak sales guidance of over EUR 300 million. Ilumetri remains a key growth driver in our portfolio, and we believe it's well positioned to make a lasting impact to patients in the evolving psoriasis treatment landscape. Now that our partner, Sun Pharma, has successfully completed the psoriatic arthritis studies, we are assessing the commercial viability of expanding Ilumetri into this indication. As a reminder, Almirall holds the rights to develop and commercialize Ilumetri in Europe, which includes new indications. Please move to the next slide on Ebglyss highlights. Ebglyss continues to deliver a strong performance just over 1.5 years since its launch in Germany in December 2023. Cumulative sales have now reached EUR 79 million. We view this as the most successful atopic dermatitis launch in recent years, reflecting strong market uptake and effective commercial execution. Overall, the advanced therapies market for atopic dermatitis in the EU5 is experiencing strong growth, expanding at an annual rate of approximately 30% to 40%. Our disciplined approach to launch execution and commercial rollout resulted in a solid market position in Germany and has laid the groundwork for successful expansion across Europe. Within the first year, Ebglyss captured the second highest dynamic new patient share in the German market, and we are seeing similar trend in other markets. Reimbursement pricing outcomes have been favorable, which we are very pleased about. This reflects the higher unmet need for advanced treatment options in this disease and the value that national health care systems place on innovations in this space. Brand awareness has also outpaced benchmarks in various markets within 1 year from the launch. First half year sales quadrupled over year-on-year and rose 31% quarter-on-quarter, reaching around EUR 25.5 million. While Germany remains the largest contributor of Ebglyss, early launch countries are beginning to scale following a promising initial uptake. Ebglyss is now Almirall's second highest selling product available in most major European markets, covering over 90% of our total sales potential. As of today, the product is commercially reimbursed in 14 European countries. We are expecting to launch in Portugal and Ireland before the end of the year. Our collaboration with Lilly continues to be highly constructive, fostering valuable knowledge exchange that supports ongoing market development. I will now hand over to Karl to provide an update of the progress of the company's pipeline and R&D efforts.
Karl Ziegelbauer: Thank you, Carlos, and good morning to everyone on the call from my side. This slide now shows you the status of our pipeline. Let me highlight the progress we made in the last couple of months. Our Phase III study to evaluate the efficacy and safety of tirbanibulin applied to a treatment field larger than 25 square centimeters and up to 100 square centimeters in adult patients with actinic keratosis met primary and key secondary endpoints. Detailed results will be presented in an upcoming scientific meeting. We are working on filing with EMA and aim to launch in 2026. Together with our partners, we continue to work on expanding the labels for our key products, Ilumetri and Ebglyss. Our partner, Sun Pharma, recently announced the top line results of 2 Phase III studies to assess the efficacy and safety of tildrakizumab in patients suffering from psoriatic arthritis. Both trials met their primary endpoints. We are currently analyzing the results in detail, and we'll keep you updated on next steps. Together with our partner, Eli Lilly, we are running a joint clinical development program to make lebrikizumab available to additional patient population. The different programs are well on track and a detailed overview can be found in the appendix. We have recently received the top line results from the 48-week interim analysis of the ADlong study. This study is designed to further explore the long-term safety and efficacy of lebrikizumab in patients with moderate to severe atopic dermatitis. The interim results at 1 year indicate excellent maintenance of efficacy and safety. When these findings are combined with data from the parent study, they support that the majority of patients whose disease was well controlled after a 16-week induction phase can maintain their response for up to 4 years with an excellent safety profile. Details of the study will be published at a forthcoming scientific meeting. Recruitment of our ADhope studies is progressing very well. ADhope-1 and 2 are Phase IIIb open-label studies to evaluate the effectiveness and safety of a 24-week lebrikizumab treatment in adults and adolescents with moderate to severe atopic dermatitis. In the ADhope-2 trial, we have started to explore a 500-milligram Q12 weekly maintenance schedule to explore an extended treatment interval in this space. We have created an exciting early clinical pipeline addressing novel mechanisms and best-in-class compounds in high medical need skin diseases. In the coming 12 months, we plan to initiate 4 proof-of-concept Phase II clinical studies across a spectrum of different dermatological diseases. Let me highlight some of the progress. For our anti-IL-1RAP monoclonal antibody, we have completed Phase I single and multiple ascending doses in healthy volunteers. Our anti-IL-1RAP monoclonal antibody demonstrated a favorable safety and tolerability profile in healthy volunteers along with a low immunogenicity risk. We have also explored pharmacokinetics and safety in patients suffering from hidradenitis suppurativa with similar results as seen in healthy volunteers. These data support further development of this anti- IL-1RAP monoclonal antibody, and we plan to start a Phase II study later this year. Together with our partners, Simcere, we are developing a so-called IL-2 mutant fusion protein to stimulate regulatory T cells as a novel approach to treat autoimmune skin diseases. We have recently completed Phase I and plan to progress to Phase II within the following months. Furthermore, we have expanded our collaboration with Simcere to jointly discover and develop novel multi- specific antibodies for the treatment of various autoimmune skin diseases. This collaboration adds to our bispecific antibody that we have already in preclinical development. Bi and multispecific antibodies are emerging as the next wave of therapeutic advancement in a broad range of autoimmune diseases. Combining our complementary capabilities and geographic footprint, we believe this collaboration has the potential to generate significantly better therapeutic options for patients suffering from autoimmune skin diseases. In summary, we are progressing very well with both our early and late-stage pipeline. With that, I will hand over to Mike for the financial review.
Michael McClellan: Thank you, Karl, for the updates on our R&D pipeline. As Carlos mentioned earlier, we are pleased with how our consistent execution continues to translate into tangible results. In the first half of 2025, we delivered a solid performance with net sales up nearly 13% year-on-year, fully aligned with our guidance. Our European dermatology portfolio remains a key growth engine for boosting our overall net sales and reinforcing our path toward leadership in medical dermatology. Gross margin reached 65.5% of sales, supported in part by the out-licensing impact reported in the first quarter. EBITDA for the first half came in at EUR 121.8 million, a 17% increase versus the same period last year, driven by the strong top line growth and helped by the Q1 out-licensing transaction. SG&A rose 8% to EUR 251 million, reflecting our continued investment in the Ebglyss rollout. R&D spending increased by about 27% year-on-year, representing 12.8% of net sales. We had a more evenly distributed quarterly spending in 2025 compared to last year, resulting in a higher R&D investments in the second quarter versus the same period last year. Q2 R&D investment was slightly ahead of external expectations despite being in line with our annual target in relation to sales. We closed the first half with a net debt-to-EBITDA ratio of 0.4x. Despite the Ilumetri milestone and dividend payments in the second quarter, cash flow generation remains solid. Our level of leverage continues to be low, providing us with significant flexibility to pursue out-licensing opportunities or targeted bolt-on acquisitions. These results reinforce our confidence in the full year 2025 guidance and the midterm outlook we shared earlier this year. Let's move on to the details of the sales breakdown on Slide 13. The European dermatology business delivered a great performance, achieving 24% year-on-year increase for the first half, and I'll dive into the details on the next slide. In General Medicine and OTC, European sales were primarily influenced by the recent divestment of Algidol and the out-licensing of Sekisan. Excluding these portfolio moves, the segment remained broadly stable as a delayed allergy season continued, the erosion of Efficib/Tesavel, and a lower sales of minor products were offset by a solid contribution for Almax. In terms of out-licensing and royalty income, we expect the full year 2025 to land around EUR 10 million ahead of 2024. These transactions form part of our ongoing strategy to extract maximum value from the portfolio, including the Q1 transaction I mentioned earlier. Performance declined in the U.S., and I'll provide further insights on the next slide. Lastly, while general medicine remained broadly stable in the rest of the world, dermatology experienced a slight decline. Let's take a closer look at the dermatology business on the next slide. Our European dermatology business segment continues to thrive with Ilumetri and Ebglyss as the primary drivers, but other growth drivers such as Klisyri and Wynzora making progress with their launches in key European markets. Ebglyss sales reached EUR 45 million in the first half, becoming our second ranked product overall after around 18 months on the market, driven by uptake in the recently launched markets. This result is in line with our expectation and enhances our confidence in its strong growth trajectory. Both Skilarence and Ciclopoli maintained similar levels to last year. The U.S. business recorded a year-on-year decline. While the Klisyri large field launch continues to generate some positive momentum, these gains have been offset by the continuous pressure on the legacy portfolio. Products such as Tazorac and Aczone remain affected by ongoing generic competition, and we had a small stock out of [indiscernible] following a manufacturing change. Additionally, Seysara sales were slightly lower than previous year, mainly due to a decline in the overall oral antibiotic market for acne. The rest of the world saw a dip in dermatology sales year-on-year due to less minor licensing income than we had last year. Let's now move on to the complete financial statements on Slide 15. Let's review the rest of the P&L, starting with some elements Carlos mentioned earlier. Gross margin moderated to 65.5% in Q2 2025, following elevated Q1 levels. This has been temporarily boosted by the out-licensing impact in Q1. Looking ahead, we expect to have some continued pressure on margins due to the evolving sales mix and higher royalty levels linked to Ilumetri's growth. We maintain our full year guidance as outlined in the February call of gross margin percentage equal or slightly lower than 2024. Going forward, we see additional pressure on gross margin percentage due to high royalties and cost of goods of our biologic growth drivers. Our R&D investments have risen to 12.8% of net sales, up from 11.4% in the first half of 2024, and we expect this to remain steady in the second half, while last year ramped up investments in the second half. We anticipate landing in the range of 12.5% of net sales for R&D for the full year. SG&A investments grew by 8% compared to the first half of 2024. We expect the high single-digit growth to continue in 2025 as we focus on launching Ebglyss in the new markets and supporting existing ones. Going forward, we see much lower increase in the following years as we will have the full infrastructure in place for biologics already. Financial expenses improved year-on-year, mainly due to a EUR 6 million positive impact of the valuation of the equity swap driven by the share price gain year-to-date. Just a reminder that our effective tax rate continues to be impacted by the fact that U.S. tax losses cannot be offset against profits generated in Europe, as mentioned in our full year guidance. Please move to the next slide, and we'll take a look at the balance sheet. The main item to highlight on the balance sheet this quarter is the investment in intangible assets in addition to some R&D capitalization related to Ebglyss Phase IV studies. Key investments also include a milestone upon the successful Phase I of our anti-IL-1RAP monoclonal antibody, which we in-licensed from Ichnos back in 2021. The total impact has been outweighed by higher depreciation. Our net debt ratio remains low at 0.4x, supporting continued flexibility for potential inorganic growth. The increase in net debt primarily reflects the Ilumetri milestone triggered last year in Q4 that was paid in Q2 this year. Let's take a look at the cash flow statement next. We generated EUR 57.6 million in operating cash flow during the first half of 2025, although changes in working capital were more pronounced than in the same period last year, mainly due to higher receivables from the higher sales level. These were largely offset by the increase in profit before tax. In addition to net financial income, which includes the impact of the equity swap, other adjustments reflect some additional pending cash collections. Cash outflows related to investments were lower in the first half of 2024, primarily because of significant payments made in January 2024 following the Ebglyss launch. The key investment in Q2 2025 was an additional EUR 45 million milestone payment linked to Ilumetri sales that was triggered in the end of 2024. Remaining investments during the period primarily reflect scheduled milestones under the existing agreements, including the payment to Ichnos following the successful completion of the Phase I trial of our anti-IL-1RAP monoclonal antibody. Cash dividends were higher this year due to a lower level of scrip dividends selected by shareholders. Please proceed to the next slide. As announced earlier in the year, I am stepping down from my role as CFO, and I plan to leave Almirall in mid-September. As this is my last earnings call with the company, I want to thank all of the investors, analysts and others that follow our financial communications for their support and patience in recent years as we reshape the future of the company through significant investments in our new launches and our R&D pipeline. We are now starting to see the initial payoff of these efforts, and I'm happy to hand over to Jon, who started earlier this week, who will take this forward. Jon brings to the role more than 25 years of experience in finance and business leadership across the pharmaceutical, medical device and telecommunications sectors. His deep expertise in specialty medicines and his strong track record in financial leadership make him exceptionally well suited to support Almirall's continued growth as a leading player in medical dermatology. Jon is here with us today as part of the handover process. So I'll now turn it over to him.
Jon U. Garay Alonso: Thanks a lot, Mike, for your kind introduction, and good morning, everyone. I feel honored to be here with you all today and join Almirall at this exciting point in time, a company with a tremendous legacy that keeps the patient at the center of everything it does. I'm excited for the opportunity to collaborate with Almirall's talented and passionate team contributed to company mission and sustainable profitable growth to be delivered in upcoming years aligned with 2030 vision. I would like to thank Mike for his support and help during my onboarding. We are working very closely to ensure a smooth transition from day 1 with a solid focus on business continuity, building up on the good work that has already been accomplished. I look forward to meeting many of you in the upcoming months and quarters. And with this, I would like to hand it over back to Carlos for his closing remarks.
Carlos Gallardo Piqué: Thank you, Mike, and thank you, Jon, and a very warm welcome. On behalf of the Board and the entire Almirall team, I would like to thank Mike McClellan for his leadership and dedication during his tenure as CFO. His contributions have been instrumental in strengthening our financial foundation and supporting our strategic direction. We wish him continued success in his future endeavors. As Mike confirmed, we remain fully on track to meet our 2025 guidance and midterm outlook. Our ambition is to achieve a double- digit net sales compounded annual growth rate through 2030 and reach an EBITDA margin of approximately 25% by 2028. As we close the second quarter of 2025, we are encouraged by the continued momentum driven by Ilumetri and Ebglyss, which are propelling total sales growth into double digits. Looking ahead, we anticipate further pipeline developments in the next 12 to 24 months. Over the past decade, we've built a strong foundation in medical dermatology, which continues to offer meaningful opportunities for both growth and margin expansion. What differentiates Almirall in this evolving landscape is a combination of scientific depth, operational excellence, a pipeline with disruptive potential, including several first and best-in-class assets and our close long-standing relationships with dermatologists and patient communities across Europe. I'm proud to say that over 400,000 patients have been treated with Almirall's new dermatological products in 2025. And when I mean new dermatological products, I refer to Ebglyss, Ilumetri, Klisyri and Wynzora. Our capital allocation strategy remains disciplined and focused. We continue to invest in current and upcoming launches to drive midterm growth, strengthen our pipeline through internal R&D and in-licensing, maintain a stable dividend and remain open to targeted business development and licensing opportunities, supported by a solid liquidity position and prudent financial approach. We are excited about the road ahead towards strengthening our leadership in medical dermatology. With that, I will pass the word back to Pablo for Q&A.
Pablo Divasson del Fraile: Thank you very much, Carlos. Jaime, back to you for the Q&A.
Operator: [Operator Instructions] We will take our first question, and the first question comes from the line of Shan Hama from Jefferies.
Shan Hama: Two from me. So firstly, what are the current competitive dynamics between Ebglyss and Nemluvio in Europe? I know Nemluvio only launched earlier this year, but is there anything you can provide on this front? And then secondly, do you find that there's an increasing use of biologics in Europe like Ebglyss in biologic naive patients?
Carlos Gallardo Piqué: Shan, I missed the second part of the second question. Can you please repeat it?
Shan Hama: Yes, of course. Do you find that there's an increasing use of biologics like Ebglyss in Europe in biologic naive patients?
Carlos Gallardo Piqué: Sure. I think it's no surprise that we see new entrants in atopic dermatitis because it's a tremendously exciting market that still has tremendous unmet need potential. Yes, Nemluvio has been recently launched that has indication for prurigo nodularis and has an IL-31 mechanism. We believe that for AD, the main cytokine treatment is IL-13. So -- hence, we will see the role that Nemluvio plays in prurigo nodularis going forward. In terms of the second question, the use of biologics, yes, I mean, we saw it in the past in the psoriasis market. Where as we see new entrants, what the new entrants and new classes do is to expand the market because there are still a big percentage of eligible patients of moderate-to-severe disease that are not treated. We are seeing the same dynamics, although at an earlier stage in the atopic dermatitis market. So yes, we believe that new entrants, what we'll do is expand the market and increase the access of these novel and exciting treatments to patients suffering from atopic dermatitis.
Operator: We will take our next question -- your next question comes from the line of Guilherme Sampaio from CaixaBank .
Guilherme Macedo Sampaio: So two, if I may. One on Ebglyss. Is there any factor that we should consider when modeling Ebglyss sales ramp-up throughout the year or this run rate -- this quarter-on-quarter run rate that you're having in the Q1 and Q2 is a good reference? And the second one is a bit on the second half. So if I'm not mistaken, you're assuming a bit more intense OpEx in the second half versus your prior expectations. If you could provide some color on this would be great. And on out-licensing royalty income expectations, you mentioned a EUR 10 million year-on-year higher impact versus 2024. If you could provide us some bridge versus your prior expectations.
Carlos Gallardo Piqué: Guilherme, thank you for your questions. Mike, do you want to take a stab at the questions?
Michael McClellan: Yes. So we're seeing good uptake of Ebglyss. So I think the quarter-on-quarter growth you've seen in the last couple of quarters is probably a fairly good proxy. As we get bigger, that may slow down a little bit, but we're seeing good uptake across Ebglyss. And we think we're definitely in line to meet or slightly beat the existing street expectations. So we see good uptake there. The second half, we expect -- if you look at our guidance range versus the first half, it will be fairly consistent. We'll continue to have good sales growth. And if you look at the EBITDA range versus where we've landed in the first half, it shows that we'll continue to have good EBITDA growth there, too. In terms of what I talked about total out-licensing and royalties, if you look across the entire business, including out-licensing we do of noncore products, things that we haven't launched ourselves that we're finding partners. Last year, that bucket was about EUR 15 million in total. This year, with the first quarter transaction, we'll end up around EUR 25 million in total. So that's the EUR 10 million gap. That also includes some ongoing royalties from older transactions that we've done and minor out-licensing in territories like Latin America and Asia of some assets. So nothing huge increase. If you look back into 2023, that bucket was about EUR 20 million. So it's fairly consistent.
Operator: Your next question comes from the line of Niall Alexander from Deutsche Bank.
Niall Alexander: It's Niall Alexander from Deutsche Bank. Just two questions, please. On your IL-1 monoclonal antibody in hidradenitis suppurativa, it would be helpful just to get your takes on the commercial opportunity there. And you have the likes of BIMZELX doing well in that space. So just wondering how you could potentially differentiate there once you kick off the regulatory R&D studies. And then on Ebglyss, just obviously focusing outside of Germany, which seems to be doing well. And just looking into the regions where you have launched, it would be helpful to get an understanding of how these are tracking, in particular, the other EU5 regions.
Carlos Gallardo Piqué: Thank you, Niall, for the question. So I'll give you some flavor on the IL-1 and then Ebglyss and then I'll pass the word for Karl for further insight into the anti-IL-1. First, HS, again, is a big underserved market. The unmet need remains -- although there are some treatments approved in HS, the unmet need remains tremendous as result of suffering by these patients. So very excited to have 2 programs that are targeting HS, both with the potential to be best-in-class. The IL-1 is extremely exciting. We have already seen the results of Phase I that confirms the profile of the product, and now we will soon enter the POC studies. Ebglyss outside Germany, early days, but we're seeing a strong uptake even in countries where we still don't have full access because it's a regional access landscape such as Spain and Italy, we're seeing a very positive uptake of Ebglyss in these countries and in some cases, already being in the double digit in terms of dynamic market share. So everything we're seeing very positive and confirming the potential and the role of IL-13 in treating AD patients.
Karl Ziegelbauer: Maybe to add on the anti-IL-1RAP antibody. This antibody targets the co-receptor of in total 6 cytokines of the IL-1 cytokine superfamily, IL-1 alpha and beta, IL-33 and IL-36 alpha, beta and gamma. Antibody that targets individual cytokines like the IL-1 beta or targeting the IL-36 have shown activity in hidradenitis suppurativa. And we believe by having an antibody that can combine those activities will have a chance to see a better efficacy in this very high medical need indication.
Operator: Your next question comes from the line of Jaime Escribano from Banco Santander.
Jaime Escribano: So my first question is regarding what you were commenting about Sun Pharma, an opportunity in psoriatic arthritis. Can you elaborate a little bit more on the size of this opportunity? How is this disease compared to the traditional psoriasis? Is there already off-label sales of Ilumetri in this field? And when could you have the indication launched? And second question is more of reviewing like a smaller products that this quarter were performing well, just to better understand the dynamics like, for example, Ciclopoli was doing fine, Skilarence was growing for the first time in several quarters. Just to know if there is any specific dynamic there? And also Wynzora, which, at least I personally thought it was more of a small product of EUR 20 million, maybe EUR 30 million, but it's already making a run rate of around EUR 40 million. So what's going on with this product? And what could we expect?
Carlos Gallardo Piqué: Jaime, thanks for the question. So on PSA, happy to see the positive results achieved by our partner, Sun, in this development. And this, again, adds to the body of evidence of Ilumetri being an effective treatment to a broader patient population. We are now analyzing the results. We will see what we do going forward, and we will update you as soon as we have a view. Regarding your second question, yes, we are also very happy with the performance of a majority of the remaining of our portfolio, very impressed by Wynzora. And what I suggest maybe, Mike, you can comment on Ciclopoli, Skilarence. We have Paolo with us here as well. So maybe, Paolo, you can comment on Wynzora.
Michael McClellan: Yes. So Ciclopoli, we're seeing some small growth there. I think this is a product where we are a market leader in many of the OTC markets across Europe, and it's been a good year so far this year. So it is affected by seasonality of weather because it's basically a nail fungus remover. And when there's better weather, people tend to wear sandals and they want to get rid of the nail fungus. So this is a typical annual variance. In terms of Skilarence, what we've actually seen is in the main market, Germany, one of the competing products has withdrawn from the market, another one of the TMF. So we will see a slight growth this year as we pick up some of that volume, but it's not going to significantly change the pattern. But it's nice for us to have a small growth in that. And maybe, Paolo, you want to address Wynzora?
Paolo Cionini: Jaime, this is Paolo Cionini, the Commercial Officer here in Almirall. So we are very pleased on the trend that we are having with Wynzora. Actually, as a company that wants to be a leader in Dermatology, it's not only about biologics, but it's also offering to patients and dermatologists the full spectrum of treatment in psoriasis. I mean, we are basically among the few companies, actually the only company offering everything basically from mild disease to the very severe or a complete portfolio on treating psoriasis. So about Wynzora, we are pleased because the sales are catching up in the countries, the most relevant countries where we are operating with such a product and also about the penetration of the market, where we are already double digit, high double digit, I would say, in market penetration in market share, not only in dynamic, but overall. And Wynzora is showing that through this [indiscernible] technology that give us the possibility really to give an option to the patient that is much better than the available products. I mean, we are really seeing an increasing penetration of the market, and we will continue like that even in the future.
Operator: The next question comes from the line of Francisco Ruiz from BNP Paribas.
Francisco Ruiz: First, I would like to thank Mike for the help during all this year and wish him the best luck in the next developments and also welcome, Jon. I have two questions. One is a follow-up from Jaime, which is that the EUR 30 million peak sales that you expect in Ilumetri does not include this new psoriatic arthritis therapy. And the second one, as always, I ask about the milestones in the coming quarters. So if you could give an update after the EUR 50 million that we saw in this first half, what is remaining for the second half and what's already known for 2026?
Carlos Gallardo Piqué: Yes, sure. Francisco. Yes, the EUR 300 million -- over EUR 300 million peak sales estimate for Ilumetri does not include additional indications such as PSA. It's only based on PSO. Mike, do you want to take the milestone question?
Michael McClellan: Yes. So, so far, I think we're still on track to have total investments this year between EUR 70 million and EUR 80 million, absent any large significant new transaction. And the difference between where we are at the half year and second half means we'll have much less in the second half. It's really just going to be small things based on existing agreements. We may trigger larger milestones to be paid next year, but I would expect next year to be somewhere in that same ballpark, roughly EUR 80 million, of course, absent any new M&A or in-licensing transactions.
Operator: Your next question comes from the line of Joaquin Garcia-Quiros [indiscernible] from JP Capital.
Joaquin Garcia-Quiros: Yes. Just I want to have a bit more insight on Klisyri in the U.S. It's growing, but still very small. So I want to know if large field is really having an effect there. And then despite that, U.S. operations continue to decline year-on-year. So what's your -- what are you going to do in the future if this continues? Will you consider closing the U.S. operations or that's not something you're currently considering?
Carlos Gallardo Piqué: Joaquin, thanks for the question. About the U.S., we remain on Plan A that we've shared with you a few times. One is to stabilize the company with the current portfolio and resume it to the growth trajectory. This year, we're still planning to finish EBITDA neutral. Once we maximize the existing portfolio, then we are looking for bolt-on opportunities in the future that can add further growth. And then whilst we wait for our pipeline to deliver and as a reminder, we have the U.S. rights in all the assets that we have in our portfolio, including the exciting assets that we were talking about just a few minutes ago, such as the anti-IL1.
Joaquin Garcia-Quiros: And sorry, about Klisyri...
Carlos Gallardo Piqué: Yes, I think we are happy with the launch of the large field. Now we see a majority of prescriptions going to the large field versus the small field, and we plan to see this trajectory continue. So not only the molecule is growing based on the large field side of the product, but also we're seeing the mix between the large and the small shifting favorably towards the large field. And we continue doing in this trend.
Operator: We will take our next question -- your next question comes from the line of Alvaro Lenze from Alantra Equities.
Alvaro Lenze Julia: The first one is on Ebglyss market share. You mentioned you're in the double digits in Germany. I don't know if you have a similar figure or available data for France in particular, after you launched this quarter? My second question would be in terms of pricing, if you could provide whether pricing in the new launches is seeing any change? And also if you could see potential for price upgrades in the future or if there are any discussions given the most favored nation discussions in the United States. I don't know if you see any read across that, that could push the drug prices in Europe up in order to compensate for a potential decline in U.S. prices by big pharma?
Carlos Gallardo Piqué: So thank you, Alvaro, for the questions. Ebglyss France, it's early days to start talking about percentages of uptake. What we see is very consistent what we've seen in other markets where we have launched earlier. That means good feedback -- anecdotal good feedback from physicians, willingness to try those that have already experienced with the product, signaling that they are willing to use it more. So quite consistent inputs coming from France compared to previous countries where we have launched previously. Pricing, well, as we mentioned a few times, we were very happy to see that the health systems in the different countries wanted new treatments for atopic dermatitis and that's a testament of the severe unmet need that remains in this indication. And therefore, we've seen the pricing levels that we were expecting, in some cases, maybe slightly better. But also, as we've mentioned a few times also in these calls, we've got reimbursement ahead of -- in some cases, ahead of the standard times, right? So overall, in the market access front, pricing and reimbursement positive on that side. The future about price upgrades, well, in Europe, [indiscernible] Europe revising pricing upwards. Yes, now there's an opportunity for Europe given the geopolitical events and the U.S. administration policies to -- for Europe to get their act together and start rewarding innovation in a different way. So let's see what the developments are in this front.
Operator: Thank you. There are no further questions. I would like to hand back to Pablo Divasson for closing remarks.
Pablo Divasson del Fraile: Thank you very much. As there are no further questions, ladies and gentlemen, this concludes our today's conference call. Thank you for your participation. You may now disconnect.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.